Operator: Greetings and welcome to the Centrus Energy Fourth Quarter 2019 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Dan Leistikow, Vice President, Corporate Communications for Centrus Energy. Thank you, you may begin.
Dan Leistikow: Good morning and thank you for joining us. Today's call will cover the results for the fourth quarter and the full year 2019 ended December 31st. Here today for the call are Dan Poneman, President and Chief Executive Officer; Philip Strawbridge, Senior Vice President, Chief Financial Officer, Chief Administrative Officer and Treasurer; and John Dorrian, Controller and Chief Accounting Officer. Before turning the call over to Dan Poneman, I'd like to welcome all of our callers as well as those listening to our webcast. This conference call follows our earnings news release issued yesterday. We expect to file our annual report on Form 10-K later today. All of our news releases and SEC filings, including our 10-K, 10-Qs and 8-Ks, are available on our website. A replay of this call will also be available later this morning on the Centrus website. I'd like to remind everyone that certain of the information that we may discuss on this call today may be considered forward-looking information that involves risk and uncertainty, including assumptions about the future performance of Centrus. Our actual results may differ materially from those in our forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in our forward-looking statements is contained in our filings with the SEC, including our annual report on Form 10-K and quarterly reports on Form 10-Q. Finally, the forward-looking information provided today is time sensitive and is accurate only as of today, March 26, 2020, unless otherwise noted. This call is the property of Centrus Energy. Any transcription, redistribution, retransmission or rebroadcast of the call in any form without the express written consent of Centrus is strictly prohibited. Thank you for your participation, and I will now turn the call over to Dan Poneman.
Dan Poneman: Thank you, Dan, and thank you to everyone on the call today. I hope that all of you and your family and friends are staying safe and healthy during what is a very stressful time for people in our country and the world over. Before we begin, let me say a few words about the coronavirus. This is an issue that we are all intensely focused on throughout our organization. The health and safety of our employees is our paramount concern. We've encouraged our team to telework to the maximum extent possible including for this phone call. We’re taking a series of other steps to protect those employees who are not able to telework, which includes a portion of our workforce at our secure in Tennessee and Ohio. From a business standpoint, we are fortunate that the vast majority of our revenue is tied to long-term contracts with large entities like electrical utilities in the U.S. government. We expect that we will continue to make our fuel deliveries to our utility customers here in the United States and around the world. We are also continuing our work under our three-year, $115 million contract with the U.S. Department of Energy to deploy a demonstration cascade of centrifuges in Ohio. However, we expect that there will be impacts on cost and schedule for that project. We are working closely with DOE and are continuing to make progress on the program. With that, let me turn to our financial results for 2019. I'm pleased to report that it was a very strong year for Centrus. The price reset provision in our largest supply contract took effect on January 1, 2019, which has significantly reduced our cost of sales in our LEU segment. Prices in the enrichment market fell by 75% between 2011 and late 2018, and since then have rebounded 35% from the low point. The price adjustment that kicked in at the beginning of 2019 better aligns our contract with market conditions. As a result, we had better margins in 2019 and we'll continue to benefit from the lower price structure in the years to come. At the end of the third quarter right on schedule, we fully repaid $27.5 million in notes that came due on September 30. That note repayment marked another milestone in our effort to reduce, restructure and retire our debt. We also successfully completed the decontamination and decommissioning of DOE's K-1600 facility at the East Tennessee Technology Park, demonstrating our D&D capabilities and extending our track record of delivering projects on time and on budget. In October, we finalized the three year, $115 million contract I mentioned earlier with the U.S. Department of Energy to demonstrate production of high-assay low-enriched uranium or HALEU as we call it, an advanced nuclear fuel that will be needed in the future to power both the existing fleet of reactors and a new generation of reactors around the world. We're deploying a cascade of our AC-100M machines at our facility in Piketon, Ohio to demonstrate the capability to produce a small quantity of HALEU. While the contract includes a significant cost share requirement, we view this demonstration as a strategic investment that will position Centrus to return to the commercial enrichment market and establish the Company as a global leader in the emerging markets for higher assay fuels. Thanks in part to the HALEU contract. We've seen significant growth potential in our technology -- Technical Solutions segment. Our overall performance in 2019 also saw improvement with lower cost of sale and reduced overhead. For the full year, Centrus is reporting a net loss of $16.5 billion in 2019, a significant improvement over 2018. In fact or not for the loss we accrued in the fourth quarter to reflect the investment we intend to make in the cost-shared HALEU contract over the next three years, we actually would have posted a small net profit in 2019. As you may recall, based on developments during the second quarter, we upgraded our 2019 revenue guidance to be in a range between $205 million and $230 million. I'm pleased to report that we met that target with total revenues of $209.7 million. This includes separate work units and uranium revenue of $169.4 million and a cash balance of $130.7 million at year end. We’ve also ended the year with an order book in our LEU segment valued at $1 billion as of December 31, 2019. Looking at 2020, we are in a strong position with our new lower-cost structure and the revenues we expect to generate from our adjusting contrasts in both business segments. However, one variable we cannot control is the global economy, which is now a source of considerable uncertainty. For example, the recent decline in the stock market coupled with the Fed's decision to lower interest rates will affect our pension assets and liabilities, which in turn gets reflected in our bottom line as actuarial changes to the non-operating components from net periodic benefit expense. Of course, this was only March, a lot can happen between now and December 31st. The economy could get better. It could get worse. These are factors beyond our ability to control or to predict. Given the period of global economic volatility that we have now entered, we're just not comfortable making a prediction one way or another with respect to overall profitability. In addition to uncertainty surrounding the coronavirus pandemic and the global economy, the U.S. Department of Commerce is seeking a significant extension of the Russian Suspension Agreement, potentially extending limits on imports of Russian nuclear fuel past the scheduled exploration of those limits at the end of this year. We are working with U.S. government, industry stakeholders and others to urge that any potential extension include sufficient quota to allow all existing U.S. contracts with the Russian suppliers of enriched uranium, including our own supply contract, to be fully implemented. Now for more details on the quarterly and 2019 full year financial results, I will turn the call over to Philip.
Philip Strawbridge: Thank you, Dan. Good morning to everyone on the call. For the fourth quarter of 2019, we had total revenue at 55.7 million and for the full year we had revenue of 209.7 million, including 169.4 million from LEU segment. Revenue from the LEU segment increased 5 million or 3% over 2019, which was primarily driven by higher uranium sales. The volume of uranium sales increased 29% over 2018 and the average uranium price billed to customer increased 5%. Our Technical Solutions segment revenue increased 41% over 2018 as Centrus began work on the HALEU contract. Cost of sales for the Technical Solutions segment is at 35.4 million compared to 2018. That reflects a larger book of business as well as an accrued contract loss of 18.3 million related to future expenditures under the cost-shared contract in the fourth quarter of 2019. Cost of sales for LEU segment declined 69.1 million or 37% in 2019 compared to 2018, primarily reflecting a decline in the average cost of sales per SWU and the changes in SWU uranium sales volumes. Centrus anticipates its average cost of sales per SWU to decline again into 2020, primarily due to the lower pricing and the new supply contracts, and pricing provisions of the existing contracts. We continue to see a reduction in selling, general and administrative expenses, SG&A, where we recorded the decrease of 16% for 2019 from 2018, as part of our efforts to adjust the Company's size and footprint to match our current business. For the year, we recorded a net loss of 16.5 million compared to a net loss of 104.1 million in 2018. As Dan mentioned, a lot could change between now and the end of the year. While the Company believes that our long-term sales contracts and our order book, and our long-term supply contracts are a source of stability, the impacts that COVID-19 pandemic may have on our customers, suppliers and operations are still very uncertain. Consequently, as Dan mentioned, we're not providing guidance on the Company's financial results for 2020 at this time. Now, I'll turn the call back over to Dan.
Dan Poneman: Thank you, Philip. In closing today, I would like to say a few words about nuclear industry and our unique role in the industry's future. There've been many exciting announcements in the advanced nuclear space recently with new small modular reactors designs advancing through the nuclear regulatory commission licensing process and others moving towards the same. Many of these new reactions are designed to run on HALEU fuels, which allow them to produce more power more efficiently, and that is an important market that we are targeting for our future growth. Beyond the commercial industry, the U.S. Department of Defense recently announced selections for Project Pele, which aims to develop, deploy, and demonstrate a prototype micro reactor for military use within the next three years. One of the requirements for that program is that the reactor must use HALEU fuel. There are still significant challenges facing nuclear power, but industry and the U.S. government are working together to address those challenges as the public, governments, experts and other organizations increasingly recognize that nuclear energy has a pivotal role to play in mitigating the worst effects of climate change. Significantly, in the last Congress, two laws were passed and signed into law, with wide bipartisan support to promote the deployment of advanced nuclear power reactors and to enhance the efficiency of our regulatory processes. With that strong legislative backing, the U.S. Department of Energy has recently published a request for proposals under the newly established advanced reactor demonstration program. Secretary Dan Brouillette and his team have exercised farsighted leadership that has begun to restore the United States to the global leadership, it traditionally enjoyed for many years and which is crucial to our nation's national security, energy security, economic security, and nonproliferation objectives At Centrus, we have always recognized the important role nuclear power has to play in providing safe, clean, reliable, and affordable energy and in advancing America's energy security and national security interests. We believe that we have a great opportunity to fuel the future with advanced generation nuclear reactors that can provide clean and safe power for people around the world for many years to come. Operator, with that, we would be happy to take any questions at this time.
Operator:
Dan Leistikow: Thank you. Since there are no questions at this time, this will conclude our fourth quarter and full year 2019 investor call. I want to thank, all of our listeners for joining us today, and we look forward to speaking with you again soon.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.